Operator: Good morning, and welcome to the Rayonier Advanced Materials First Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host Mr. Mickey Walsh, Treasurer and Vice President of Investor Relations for Rayonier Advanced Materials. Thank you, Mr. Walsh. You may begin.
Mickey Walsh: Thank you, Operator, and good morning, everyone. Welcome again to Rayonier Advanced Materials first quarter 2021 earnings conference call and webcast. Joining me on today’s call are Paul Boynton, our President and Chief Executive Officer; and Marcus Moeltner, our Chief Financial Officer and Senior Vice President of Finance. Our earnings release and presentation materials were issued last evening and are available on our website at rayonieram.com. I’d like to remind you that in today’s presentation, we will include forward-looking statements made pursuant to the safe harbor provisions of federal securities laws. Our earnings release as well as our filings with the SEC list some of the factors which may cause actual results to differ materially from the forward-looking statements we may make. They are also referenced on Slide 2 and 3 of our presentation materials. Today’s presentation will also reference certain non-GAAP financial measures, as noted on Slide 4 of our presentation. We believe non-GAAP measures provide useful information for management and investors but non-GAAP measures should not be considered an alternative to GAAP measures. A reconciliation of these measures to their most directly comparable GAAP financial measures are included on Slides 18 through 22 of our presentation. I’ll now turn the call over to Paul.
Paul Boynton: Thank you, Mickey. And good morning, everyone. I'm pleased to report that we generated significantly improved EBITDA in the first quarter. Both compared to prior year as well as on a sequential basis. And note, we continue to see strong momentum in all of our end-markets as we enter the second quarter. Starting on Slide 5, EBITDA improved by $64 million from prior year to $91 million. Driven by a surge in lumber prices, momentum in High Purity Cellulose commodity prices and demand for cellulose specialty products. Along with a strong EBITDA, we generated $21 million of free cash flow as we captured higher prices across all key products to overcome our typical seasonal uses of working capital as well as certain logistic constraints. Importantly, shortly after we finish the quarter in April, we announced the strategic sale of our Lumber and Newsprint assets. The sale allows the company to first capture significant value from these assets partially due to the surge in lumber prices. Second, allows the company to pay down debt, and third, it'd allow us to build upon our core high purity cellulose businesses BioFuture. As part of that BioFuture, we see which we see is leveraging our key assets to create new sustainable bio-based products. We are also formally have formally announced yesterday an exciting strategic investment in Anomera, a startup company that will be producing and marketing Carboxylated Cellulose Nanocrystals or CNC which are fundamental natural building blocks that have widespread consumer and industrial applications. Anomera's nanocrystals are patented biodegradable products to be produced at our Temiscaming site from our cellulose specialties products. The emerging business will be supported by a recently signed distribution agreement with Croda, a global leader in sustainable high performance ingredient formulations. So now I'd like to ask Marcus to take us through the numbers for the quarter and then I'm going to come back on and provide additional perspective on the asset sale as well highlight some of our key opportunities to invest in growth for the company. Marcus?
Marcus Moeltner: Thank you, Paul. Starting with High Purity Cellulose on Slide 6. First quarter sales held flat at $250 million driven by a 9% increase in sales prices offset by an 8% decline in sales volumes. As expected, CS prices were down slightly while higher commodity prices grow with a combined increase. CS sales volumes increased a strong 6% driven by sharper demand in acetate, tire cord, and engine filtration. Commodity volume declines were driven primarily by logistic constraints, even our further segment improved $9 million to $35 million. Pricing improvements on more favorable mix of CS and lower operating cost helped drive profitability gains. Looking forward to the second quarter, we expect commodity prices to increase further. For our CS prices are expected to remain slightly below prior year despite stronger demand as we fulfill our annual contracts. Total high purity cellulose volumes are expected to remain stable for the full-year, however we expect a more favorable mix toward cellulose specialties. Turning to Slide 7, sales in our forest product segment improved by $65 million from the first quarter of 2020 driven by a 118% price increase offset by a 3% volume decline for lumber products mainly due to logistic constraints. EBITDA for the segment increased $62 million to $63 million driven by the stronger sales pricing. As a reminder, EBITDA results improved $7 million for duties paid in the quarter. Since the start of softwood lumber duties and shipments into the U.S. in 2017, we now have paid a total of $98 million of duties and have also accrued interest of approximately $5 million. Based on the results of prior trade disputes, Canadian producers have historically recovered all or a vast majority of these duties upon resolution and Rayon will retain the rights to these duties after the sale of the lumber business later this year. Looking forward with the continued strength in the lumber market, robust repair and remodeling and very little incremental available new supply, we expect sale prices to remain very strong in the second quarter with higher prices likely sequentially. As our order book now extends into June. We are focused on ensuring reliable operations and capturing the benefits of these higher prices through the completion of the asset sale in the back half of the year. Turning to Slide 8, Paperboard segment sales declined $2 million driven by a 7% decline in sales volumes, EBITDA for the segment increased $1 million to $10 million driven by lower operating costs. Looking forward, we are seeing announced price increases stick in the market to help offset rising raw material pulp cost. Turning to our Pulp & Newsprint segment on Slide 9. Sales declined $8 million from prior year driven by 38% decline in newsprint volumes which primarily resulted from our decision to only operate one of our two manufacturing lines. High yield pulp volumes declined 15% due to logistic delays. Newsprint and high yield pulp prices increased 12% and 2% respectively. EBITDA for the segment held flat at a $4 million loss driven by lower sales volumes offset by the higher prices and cost reductions. Looking ahead, we expect increased prices for both Newsprint and high yield pulp while we manage through global logistic constraints including the recent Montreal Port strike. Turning to Slide 10. On a consolidated basis, operating income improved $67 million from prior year to $55 million; a significant price improvements in lumber and commodity high purity cellulose contributed to the vast majority of the increase. Volume impacts were related to the lower newsprint volumes and logistic delays while cost improvements helped offset non-cash cost in the corporate cost segment. Notably, the quarter reflex is $64 million book tax expense. There are a few key drivers of this high rate. Firstly, the company generated significant income in Canada during the quarter. Second, the company is required to recognize a double taxation for our Canadian earnings due to guilty taxes in the U.S. In Canada, NOLs are available to offset the amount and volume does not expect to pay any cash taxes. However, a smaller amount of taxes in the U.S. could be payable which will be applied against existing credit amounts. We enquired to account for both of these amounts, however we only expect to pay the smaller U.S. portion. Second, we are unable to fully utilize our interest expense deductibility to reduce our U.S. taxes which increases our overall rate in this jurisdiction. While the book tax rate is high for this quarter, we expect to pay only minimal amount of tax in 2021 and still receive a substantial $50 million refund in the year. Lastly, driven by the strong results and despite seasonal working capital increases, liquidity improved $53 million to $268 million, while net debt fell to just below $1 million. Along with the proceeds from the sale of lumber and newsprint, the company is well positioned to further reduce that and make the strategic investments necessary to grow the core HPC business. With that I'd like to turn the call back over to Paul.
Paul Quinn: Hey thanks, Marcus. Turning to Page 11, as announced on April 12, we will be selling our lumber mill and newsprint facility to GreenFirst Forest products for purchase price of approximately $214 million plus an additional $6 million related to a chip offset agreement. The purchase price will fluctuate based on the level of inventory delivered at closing which we are currently assuming to be about $74 million. 85% of the purchase price will be paid in cash with the remaining 15% being paid in shares of GreenFirst which has upside potential. It's important to note that Rayon will also retain all earnings of these businesses up until closing which is not expected to incur until sometime in the second half of the year and is expected to provide a substantial amount of incremental value. Rayon will also retain all the rights to do this paid into the U.S. Department of Commerce up until closing which we estimate will be around a $110 million. In total with captured significant value for our shareholders in this transaction, as our investors know, the lumber business is very cyclical and the newsprint business is in secular decline. Just a year ago this time, all of these assets were shut down due to lack of demand. And we've stated that with an appropriate valuation we would consider further portfolio optimization and divide -- divest the company of these businesses. Over the past three years, EBITDA has averaged $34 million for these businesses. Based on our $214 million purchase price, we're capturing an enterprise multiple of over six times through this cycle. We plan to use the proceeds for the sale of the lumber newsprint businesses to both repaid debt and investing key strategic opportunities in our high purity cellulose business which over time has had higher margins that investors tend to reward with a higher enterprise multiple. As such, looking forward on Slide 12, the BioFuture of Rayon will center around opportunities to leverage bio-based solutions out of our four manufacturing locations in Quebec, Georgia, Florida and France, along with our world-class R&D centers. We are a leading manufacturer of cellulose specialties across all grades from acetate, plastics, using traction and screwdriver handles to cellulose ethers used for many food and pharmaceutical additives. We're also a producer of differentiated commodity products such as fluff, viscose and lyocell in our environmentally friendly textile. Additionally, we also continue to produce a new quality leading Kallima branded 3-ply paperboard and a mechanical hardwood pulp. The tailwind supporting prices on our commodity products in strong demand for our cellulose specialties, we are well-positioned to capture value with the upswing of the market. Turning to Slide 13, we also have the ability to invest in our businesses to capture even greater value that helps smooth out the peaks and values of commodity markets. These investments into our BioFuture will add to our product diversity in our financial growth. After corona, manufacturing process are cellulose pulp products. But we know that much more can be done with these assets. We've already invested in producing new Lignin salt and each had each of our three softwood sulphite facilities in Florida, France, and Quebec. We've also invested in green energy projects in these facilities including last year's new bioelectric turbine auditioned in Tartas. And we are exploring the opportunities for similar bioelectric investments in our Georgia facility. Other area of explorations are in our second generation bioethanol as well as biomaterial such as natural prebiotics which we believe can further diversify revenue streams coming from our asset and drive more value for our shareholders. Looking at Page 14, as I noticed at the beginning of the call, an additional investment into our BioFuture is the investment in Anomera. An entire new opportunity for growth. This investment applies a technology platform that expands our core competency of cellulose chemistry. Anomera produces the highest quality cellulose nanocrystals sustainably sourced from our Temiscaming cellulose specialties. These nanocrystals can be formed into a variety of building blocks including microbeads a biodegradable natural alternative for plastic, cosmetic texturing powders as well as products that can enhance performance properties in cements, paints and coatings, composites, adhesives, agricultural, medical pharma and life sciences. Anomera is headquartered in Montreal with a team of nearly 20 scientist and 17 patents. And is currently in the process of developing a specialty manufacturing facility on our property in Temiscaming which can produce over a 500,000 kilograms nanocellulose per year. Since 2017, we have invested in a total of $8 million in Anomera through the end of this first quarter. Rayon is the largest shareholder with 44% loading interest and we expect to make additional investments over the next five years. We are excited about the future of Rayon. Our reputation as the market leader in cellulose specialties with differentiating commodities within fluff and viscous market, positions us well for the future. A diverse asset allows to service all the cellulose specialties market segment, our leading R&D platform and BioFuture investment opportunities will further broaden our presence. We have proven that we can control cost and manage cash to drive stronger liquidity and a more flexible balance sheet. Now the market conditions are in our favor, we're well on our way to capitalize and grow our business. So with that operator let me open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question is from John Babcock with Bank of America. Please proceed with your question.
John Babcock: Great. Good morning and thanks for taking my questions. First I just was wondering if you might be able to quantify the impact of the volumes loss, so say with the freight challenges in high purity cellulose. Apologies if I've missed the part, could you just kind of go through that, that'll be helpful.
Paul Boynton: Hi, good morning John, this is Paul. Look, we said that volumes were off a bit and we didn’t quantify that out there and like but we had and across the business and I think I don’t think we're unique in any way, a lot of would just to go challenges. And the part of that is related to logistics and we got the Port of Savannah actually differ a lot of product for us and everybody else who moves out of the second largest port there on the Eastern sea board. Lot of fog for a few days in February, create a lot of backlog, so that was certainly an impact to our business. We've also had no issues with trucking and the availability of truck drivers. So we've had that hit not only our HPC business but also our lumber and our high yield businesses as well. So kind of across the board. We think the challenges where we'll ease up but we still see in the second quarter delays as well. So it may take us through to third quarter back half of this year to kind of get all that leveled out and again I don’t think we're unique in that way across the industry or even outside of our industry.
Marcus Moeltner: Alright. John --.
John Babcock: Okay. Oh, go ahead.
Marcus Moeltner: Well John, you most likely noticed that there was back to work legislation in Canada for the Montreal Port which is a good development which speaks to Paul's comments where we should see some of that ease up.
Mickey Walsh: And John, is a benchmark on the volumes. We've guided HPC volumes will be stable for the year with really an increase and benefit in the next towards cellulose specialties.
John Babcock: Okay. Well, that's helpful. And so, based on the commentary, I mean it sounds like you should get some of those volumes back in the second quarter. Is that kind of fair, obviously it sounds like pay channels grow continue to be at a challenge. But it sounds like you're not losing these volumes, so that to sell it.
Marcus Moeltner: We don’t see the volumes going out of the year at all. I think we stayed we remain kind of again consistent with our comments last quarter that year-over-year our volume should be stable. And we actually see at this point CS volume is potentially stronger than we had originally anticipated in up slightly from last year.
John Babcock: Okay. And then, actually on that last point there. Could you just talk about the demand trends you're seeing in commodity viscose and also cellulose specialties with focus on maybe this?
Marcus Moeltner: Well, I think I got your question, John. Yes, we're what we're seeing out there in demand on the CF as well as commodity side.
John Babcock: Yes.
Marcus Moeltner: That's right.
John Babcock: Yes.
Mickey Walsh: Look and then Marcus made the comments on it. We're seeing good strong demand and a lot of our markets for the CS acetate, probably lot of that going into acetate plastics automotive related products that we sell. Engine filtration, media, tire cord, we're also seeing it nitrocellulose which goes into a lot of construction products and paint and coating. So some good fundamental demand. We've had a lot of conversation with our customers around this. We think some of it certainly is just a catch up on inventories they got within. But we actually see some real fundamental demand pool through on that. So hence our thoughts for the year the CS volumes would be up year-over-year. Ending with viscose and fluff pulp, look we're continuing to see very strong demand for those products we've been commenting on. On the market, pricing increases out there. And that you'll probably note John, would our prices have lagged and probably most people will have lagged the overall market certainly fluff pulp. The market place is up Q1 10% of Q4 for NBSK and already in April be out there NBSK has pushed up about 19% 20% relative to those Q1 prices. So we're probably a quarter behind that. So you're going to see some good strong pushup in our second quarter and in fluff pulp prices and similarly viscous prices which are a bit ahead of that already. I think we noted where you see in the last chart in our deck there, viscous price is up 34% in Q1 relative to Q4. This is just market index prices. And again, we're seeing April already up about 20% relative to those Q1 prices. And we're probably about a six to eight week to lag on that for us. So again you're going to see a strong second quarter on our commodities for both fluff pulp and viscous. And a majority of our product is the fluff pulp.
John Babcock: Okay, that's great. And then, next question I just had and I think this is by a relatively common question these days but overall how are you thinking about the impact of inflation across your business to the whole main area?
Marcus Moeltner: Hey John, this is Marcus here. We're seeing signs of inflation in a couple of spots. Certainly some of the sulfur based chemicals, energy inputs such as diesel fuel, so we're starting to see signs of that and certainly that then migrates into the logistics supply chain as well. We'll probably not is as strong as some might have thought at the beginning of the year but we're definitely seeing signs of it coming through our across our business units.
John Babcock: Got you. And so labor inflation, I mean should we just assume that's off the standard kind of 2% to 3%?
Marcus Moeltner: Yes, labor certainly more tied to the labor agreements that we have in place. So, some markets well it's a bit of a lag on those commodities and when it comes to inflation for our business. And but well you should see it coming through. We probably anticipate pretty muted inflation for the year originally. And maybe we're up kind of mid-single digits you think overall?
Paul Boynton: Yes, that'll be a good number, yes.
Marcus Moeltner: Okay.
John Babcock: All right, that's just one in. Just a last question before I turn it over. I was just wondering if you could talk about any potential impact from some of the tax proposals that will make this way through Congress.
Paul Boynton: Yes, we're keeping a sharp eye on that John. Yes, it's somewhat fluid still. There is there's moving parts. There is certainly the guilty taxes that have been referenced that could present some additional tax leakage. But again, we feel good about our NOL position up in Canada and in the U.S. we still have some credits to mitigate any near term impacts. But we're staying close to it.
John Babcock: Okay great, thanks for the help.
Paul Boynton: Thanks, John.
Operator: Thank you. Our next question is from Paul Quinn with RBC. Please proceed with your question.
Paul Quinn: Yes, thanks very much. Good morning, guys. Listen, you guys reference the strong pulp markets that we're currently seeing. Just wondering how this sets you up for your negotiations around that the high purity business and when do those negotiations start?
Marcus Moeltner: Hey Paul, thanks for the question. Look, we've said actually the last couple of years that those weak commodity HPC markets are not typically helpful as a backdrop to our discussions in cellulose specialties. And so to your question, real gain and the strength of those commodity markets is actually I think a helpful backdrop. Right now we know that some of our competitors are far more advantaged to sell the commodities in this market than they are on selling cellulose specialties. And all that I think just fuels some tightness across the market. And again, which we think would be a helpful backdrop that we haven’t had for a couple of years. Those discussions usually tick off in earnest in the next couple of months and as you know kind of carry into the fall timeframe.
Paul Quinn: Okay. And then, just on the sale of the lumber businesses or the newsprint mill, you've got a 15% equity position in green for us. What are the restrictions around that, what's your intention with that position?
Marcus Moeltner: Well, it's Marcus. Paul, the so the rollover you're correct, can't think of 32 U.S. current exchange rates, that'd be about a 40 million rollover into green first as equity. Yes, and then we feel we're well-positioned to participate in upside in the lumber market with that vehicle. And the nice thing is our few which's on the hold is measured in six months. So we again after that time period, we would be free to monetize it at our option.
Paul Quinn: And as we're sitting down and looking at the lumbar market, I mean obviously their record highs well above past fees. But is that something that you'd anticipate taking advantage of what's just six month holding period zap or is that something do you think this lumber market's got some length?
Mickey Walsh: Yes. We're going to watch it just like you, Paul. When we -- this as Marcus said, I think there is some upside to about 15% that rolled over. And we'll gauge that and we'll monetize. We sold the assets with the plan not to be in that business in the long-term. So that will be our plan but we'll certainly make a play on the short-term opportunity to right the lumber market, all those volumes it stays strong. Everything we see out there is it's going to be strong for a while. So we're really excited. We're actually think and excited for GreenFirst products, it's a great way for them to start off. As we noted that that transaction will come to completion in the back half of this year. So we're going to have a good opportunity to capture a lot of the value that's created in 2021. And then again, we'll be able to right some of the upside and GreenFirst and we'll just have to make the call at the time.
Paul Quinn: Okay. Fair enough. And then maybe just, any other portfolio changes that you're anticipating with businesses that you're currently in?
Mickey Walsh: No, look, we kind of -- we feel like we've executed what we wanted to execute. When we entered this transaction, we made up very clear that we were really into and focused on the HPC assets of Tembec. He said that over time we'd evaluate opportunities to do that when the market's right. I think we got some feedback of why not now or why not then. And again I think it's all around of doing it when the markets at strength. Then we see the market at strength. We like the additional businesses in there and yes you know they are connected the paperboard and the high yield pulp in Temiscaming. And so we anticipate being longer term owners of all these assets. So I think we're in a good shape right now. Paul, now we just got to really leverage what we have, invest back in them. Let's get the most out of them that we can and that's why we're talking about more about the BioFuture and expanding our portfolio going forward into sustainable bio-based products.
Paul Quinn: Great, that's all I had. Thanks, very much guys.
Mickey Walsh: Thanks, Paul.
Operator: Thank you. Our next question is from Roger Spitz with Bank of America. Please proceed with your question.
Roger Spitz: Thanks very much. The $182 million the U.S. faces cash out proceeds, how much do you expect to use to repay debt and do you have a view of which deck you would go after with that?
Marcus Moeltner: Yes. Good morning, Roger, it's Marcus. As you know within the senior note facility that we negotiated recently, we have an option for a $150 million pay down within that credit facility. So certainly we built in that flexibility. We would see that as a natural place to allocate a pay down. But again, we'll evaluate as we get to a closing what the best option is based on where the markets are but certainly we have that flexibility before us.
Roger Spitz: Got it. And can you disclose, I guess at some point you'll will be anyway what newsprints Q1 '20 and Q1 '21 sales in EBITDA is so we can get our LTM's right on the pro forma?
Paul Boynton: Roger, we put a schedule in the back of the investor deck Page 22. That sets out both for lumber and the newsprint EBITDA. Figure is here for the three-year period. Yes?
Roger Spitz: And do you expect to pay any cash is payable on the sale of the lumber newsprint business?
Paul Boynton: Sorry, do we expect the pay -- I dint get that.
Roger Spitz: Cash taxes.
Marcus Moeltner: Would they be on cash taxes, yes? Very little tax leakage. We estimated call it in the range of under $10 million and we're fortunate to have our NOLs in Canada to help offset any leakage in Canada and then in the U.S. we have some credits. So very little leakage is what we're expecting.
Roger Spitz: Okay. Then just a couple last ones on cash flow. The last call you expect a 2021 CapEx of $85 million to $90 million. Obviously that probably depends on the timing of the sale but any update on that and then what at 2022 CapEx might look like?
Marcus Moeltner: And you heard Paul's comments. Right. With us refocusing the portfolio, we would then be focused on the right level of custodial capital to maintain the reliability of our HPC assets. So previously we said $85 million to $90 million on a net basis. You saw on the first quarter we were $20 million including some strategic capital. I would certainly see us looking in the range of a $100 million to maintain custodial CapEx.
Roger Spitz: All right, last from me. And ignoring the $10 million tax leakage on the sale or less than tax $10 million. Last call you expect the 2021 cash tax inflow of $55 million. And you made some earlier comments on cash taxes in the prepared remarks. But I'm wondering should we still think of that being good $5 million excluding the shelf tax leakage?
Paul Boynton: Yes Roger, we still envision the Cares Act refund which is $33 million and then we'll couple that with $17 million to come in at around $50 million now. We classified a portion just based on some further audit work that's what ongoing. But we still feel good about the $50 million in the back end of this sphere.
Roger Spitz: Thank you, very much.
Paul Boynton: Thanks, Roger.
Operator: Thank you. And our final question is from Paretosh Misra with Berenberg. Please proceed with your question.
Paretosh Misra: Thank you. Good morning, everyone. So starting off and maybe a follow-up on the earlier question on CS pricing for next year. I just maybe wanted to focus on the volumes because you're when you see this business, you have multiple customer's different contract. So I guess there's the volumes that is coming up for renewal or price reset next year is in a date there is just volume change. Is there any sense you could give us as to how much volume might be up for reset as we enter 2022?
Marcus Moeltner: Paretosh, I don’t think we have that out there. I don’t know that that's something we want to put out there right now. Obviously, we have some of our business that comes up for renewal. I don’t think this coming period of 2022 is anything more substantial than what we've seen on the last few years. So I think it's in line. It -- so, yes I think that it's a pretty typical rollover type of year. We've got a lot of contracts in place for multiple years. We've got a lot of contracts in place for multiple years. And we do have a bit of volume up for discussion coming forward but I think it's all on the range of what we've seen the last handful of years.
Paretosh Misra: Got it, that's actually very useful. And then, switching to TEMSILK opportunity. I guess, any updates in that lyocell market in recent months that's worth sharing. And longer term and this becomes the bigger opportunity. How should we think about the pricing, is that something that'll be priced at a premium to Viscous or what kind of discussions are you having on that?
Marcus Moeltner: Yes. Look, that market like most textiles was pretty significantly impacted by COVID-19 and we saw that, we saw a lot of the Lyocell assets in Asia slow down or shut down, that could even be just down to probably a 50%-55% capacity there for a while period. A lot of that looks like it's coming back on nicely. It's probably behind the Viscous market a bit but moving forward. Our customers in that area are still very optimistic about the five year growth plan and most of them are still all combined. When we put it together, we're still looking at a 300,000 to 500,000 ton type of growth opportunity out there. Obviously we've got our sites on that, some of our competitors to have our sites on it. We've got a really nice softwood product that feeds into that market. So we're optimistic about that business going forward. And with that we think our product will be priced at a premium and I'd say probably most products. It takes a more specialized fiber to feed into the lyocell market when it does into the general viscous pulp market. So as we look at what capacity we have available and this is a broadly for the viscous market and keep in mind as I already said we got a good amount available for the fluff pulp market. We would take a look at driving that TEMSILK business and then the balance would be remaining into the general viscous market. But also keep in mind that we have a softwood set of products. And I know there's been some notes out there that there's more capacity coming into dissolving with pulp and the viscous market. They are often the Southern Hemisphere, almost all of that is hardwood. We've got a nice softwood product. And as that hardwood demand moves into the market, supply moves into the market, the demand for the softwood product is going to continue to be increasing and we think at a premium over that hardwood. So we think either way whether it's TEMSILK or its general Viscous with our softwood product, we're in good spot to serve the market at a good.
Paretosh Misra: And did you currently have capacity to make this material, there's 300,000 tons to 500,000 ton there, how does it compare with your current viscous capacity?
Paul Boynton: So we don’t have the capacity at this time to do 300,000 tons to 500,000 tons. We're saying that's with the overall market demand looks like over the next five years. What we've talked about this product TEMSILK is being made in our Temiscaming facility. And we have said that we could see up to and including the majority of our production in Temiscaming at some point being made to produce a TEMSILK type product. So that's kind of how we're framing it right now. Paretosh, if that helps you, that facility has the potential capacity or the more than freight capacity let's just call it 140,000 tons 150,000 tons in that range. And we could see the majority of that growing into the market for TEMSILK and lyocell.
Paretosh Misra: Thanks Paul, that's very clear now. And maybe a last a quick one for Marcus. The corporate cost which was I believe [$30] million in Q1, how should we think about that as we go into the second half and when this transaction closes?
Paul Boynton: Yes, Paretosh, the -- where we do have some not seasonality but lumpiness so the corporate cost of the side there but think of an $11 million to $12 million a quarter on the corporate side. We would challenge ourselves to optimize our corporate class due to the transaction. But it's not going to be a step change, it's going to be an optimization of corner run rate.
Paretosh Misra: Got it, that makes sense. Thanks guys, that's all I had.
Paul Boynton: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session. I will now turn the call over to Paul Boynton for closing remarks.
Paul Boynton: Yes. Hey, thanks everybody for your time today. With the current market tailwinds and significant opportunities we see to reinvest in our business, we're excited about the BioFuture of Rayonier Advanced Materials. So again thank you for your time and have a good day.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation. Have a great day.